Operator: Good morning ladies and gentlemen, and welcome to the Siemens 2020 First Quarter Conference Call. As a reminder, this conference is being recorded. Before we begin, I would like to draw your attention to the Safe Harbor statement on Page 2 of the Siemens presentation. This conference call may include forward-looking statements. These statements are based on the company's current expectations and certain assumptions and are therefore subject to certain risks and uncertainties. At this time, I would like to turn the call over to your host today, Mrs. Sabine Reichel, Head of Investor Relations. Please go ahead madam.
Sabine Reichel: Good morning ladies and gentlemen and also warm welcome from my side. The earnings release and Q1 presentation were released at 7:00 a.m. this morning. You can find everything on our website. I'm here with our CEO, Joe Kaeser; our CFO, Ralf Thomas; and our Deputy CEO, Roland Busch. Since the AGM starts right after this call, we will limit the time of the call to 45 minutes. Joe and Ralf will start with a brief presentation and then Joe, Ralf, and also Roland will be here for Q&A. With that, I would like to hand over to Joe.
Joe Kaeser: Thank you, Sabine, and good morning everyone and thank you for joining us this early to discuss our first quarter results ahead of our AGM here in Munich. Two weeks ago I attended the World Economic Forum in Davos where we met many customers, partners, investors, government representatives, and also obviously societal stakeholders from across the globe. It theme this year as many of you know, were centered around how to build a cohesive and a sustainable work. Needless to say that the decarbonization was the key focus and the question how to limit global warming and to reach a target of the Paris agreement and what we have felt surprising that NGOs and climate activists took center stage in the public debate. Although, already five years ago, Siemens has been the first major industrial company which has itself set the target to be carbon neutral by 2030. We have also come under activists' scrutiny by delivering a signaling system to a transport company associated with coal mining in Australia. While we do what we have to do, it is essential that importance of adding ESG matters into strategic concepts and business plans along the value chain is a relevant topic. Siemens Energy in particular, can and will play a significant role in supporting the global energy transition from conventional generation to renewable energy and supplying technology to produce synthetic fuels for the high growth [ph] in economy. And that's why strong profitable and innovative renewal energy business is a key element for the strategic direction for the equity story of the newly founded Siemens Energy. Therefore we entered into constructive discussions with our fellow shareholder and customer Iberdrola and agreed to acquire Iberdrola's 8.1% stake in Siemens Gamesa Renewable Energy. That will increase our stake to around 67% of the total company. We also agreed to unwind the existing shareholder agreement and enter into a partnership agreement to work together closely, to further drive the energy transition in a mutually successful way. That also includes looking together even closer in the area of smart transitions and good access. This step will enable SGRE to secure additional about €100 million of savings starting by fiscal 2022. The net present value is around €900 million altogether for SGRE which obviously we have a 67% stake and benefit for and we have had a very intense shareholder dialogue with SGRE management relative and relevant SGRE management and they have committed to achieving those goals and put them into the mid and long-term business plan and commitment on their side. As previously announced, Siemens Energy will transfer all its SGRE shares, including the newly acquired ones to Siemens Energy as a vital cornerstone of the company's long-term transformation strategy.  Let me now give you my quick assessment of our fiscal Q1 performance. As expected we saw a slow start after a powerful finish in 2019. Overall intake on the orders was quite strong with close to previous year's record levels and the book-to-bill subsequently translated to what we believe an excellent 1.22 book-to-bill ratio, although obviously threatened by large scale orders in the project environment. This is an industry Smart Infrastructure and Mobility as the components of the newly, what we call, Industrial Siemens. So one that's expected we have really nice pockets of strength such as in software, especially in the bookings there, low voltage and China. As for Siemens Gamesa and Siemens Healthineers, I'm sure that they are not the only disappointed shareholders. While we know that Healthineers management reiterate it's guidance based on healthy topline growth. We believe with the new shareholding developments at Siemens Gamesa Renewable energy, this will help redirect internal focus to more relevant external factors, such for example project execution. At Gas and Power, the key focus is to deliver the numbers forecasted, including planned cost savings and get the new set up ready for a proper listing as planned. If we look at the full year expectations, we do confirm our outlook for fiscal 2020. We also continue to expect the drop in our most relevant short cycle verticals not before mid calendar year 2020, that has not changed what we said at our original guidance. Obviously and needless to say, that at this point in time it is too early to test the potential economic impact, both for our domestic as well as the global supply chain impact of the epidemic virus issue originated in China at this time. With that, Ralf will give you now a more detailed and brief overview of our fiscal Q1 performance by segments. Ralf?
Ralf Thomas: Thank you, Joe and also good morning from my side. As Joe mentioned, digital industry still operates in a weak industry environment especially in our core verticals, automotive and machine building. This resulted in clear revenue decline in discrete automation while process automation was flat. On the positive side, our software business continued its strong growth path. It contributed substantial double-digit order growth due to major wins in the semiconductor and other high tech industries. Software revenue was up 5% looking at regional revenue growth of our automation business, the cyclical industrial weakness and structural challenges in Europe are clearly visible. High margin automation businesses were down 18% in Germany and 10% in Italy. Automation revenue in the U.S. decreased by 3%. China held up reasonable well with only minus 1% despite tough comps and there are some green shoots of hope. In recent weeks we have observed some initial positive signals in China. Trade growth rebounded in December on a stabilizing global economy and easing U.S.-China trade tensions. Against this backdrop, Digital Industries continued to execute on its cost optimization program as planned. We recorded severance charges of €115 million equaling 300 basis points of margin. As we already highlighted in November Digital Industries is prepared to act further on the cost side if markets are not developing along our assumptions. The impacts from cloud invest and Mentor integration costs totaled to around 210 basis points in the quarter. Our expectation for fiscal 2020 is to sustain profitability in the target margin range at 17% to 18%. Smart Infrastructure delivered a solid performance with revenue up in most of its businesses. Building and Utility markets continue to grow around 3% while the Industrial market segment weakened further. This cool down resulted in a slight revenue decline of the Product business while Distribution Systems, Software Solutions, and Service have been driving growth. Adjusted EBITDA margin was up year-over-year mainly on better execution in Digital grid. The Smart Infrastructure team makes good progress on implementing its competitiveness program as announced. We expect to achieve agreements with the workers' consult in the court of the second quarter, hence we assumed severance charges of around €100 million in fiscal Q2. Furthermore, Smart Infrastructure announced the acquisition of C&S Electric a few days ago. This fits perfectly into our strategic priorities to grow the product business in Asia which we addressed at the Capital Markets Day last year. With this transaction we will strengthen our position as a key supplier for low-voltage power distribution and electrical installation technology in India. In addition, this will enable us to create another export hub to expand our business all over Asia. Gas and Power delivered a mixed performance. A clear positive was solid order volume of €5.6 billion on tough comps. This led to a healthy book-to-bill of 1.23 times on flat revenue development. We booked three large gas turbines, 20 small and medium gas turbines, as well as 4 aero-derivative gas turbine units globally. Our expectation for the last gas turbine market in fiscal 2020 is around 70 to 80 units. We are somewhat disappointed in Gas and Power margin of only 1.4% was 240 basis points below prior year level. Main reasons were a less favorable revenue mix and additional expenses for the ramp up of the standalone set up of Siemens Energy as indicated before. The Service business again delivered a very solid profit contribution. As expected, free cash flow bounded back after a strong fourth quarter year end finish. The Energy team continues to work on further working capital improvements. As already indicated, Siemens Mobility had a soft start into the first quarter. The sales funnel is strongly weighted towards the second half of fiscal 2020. Revenue and margin performance were below prior year mainly due to a lower volume of smaller rail infrastructure projects. We expect a clear acceleration across all metrics throughout fiscal year 2020 starting with the second quarter. Our strategic companies, Siemens Healthineers and Siemens Gamesa Renewable Energy already reported their first quarter results both unfortunately below our end market expectations. We have clear plans and management commitments in place to improve performance going forward. Let me now point out a few topics below Industrial business. We had a very positive effect from a mid double-digit million divestments gain in Financial Services. Siemens Real Estate recorded a gain of €219 million from the transfer of an investment through the Siemens Pension Trust. As a result of largely tax free gains, the first quarter tax rate came in at only 18%. To sum it all up, we confirm our guidance for fiscal 2020 and with that Joe and myself and Roland are happy to answer your questions and I am passing back to Sabine.
Sabine Reichel: Thank you, everyone. Now let's start Q&A. The first question please?
Operator: Thank you. [Operator Instructions] Our first question comes from Andreas Willi from JPMorgan. Please go ahead.
Andreas Willi: Yes, good morning, everybody. I have two questions please. First on Gas and Power, if you could comment on the underlying performance also in terms of the backlog whether you see some stability here now in gross margins, you recently said that backlog margins started to improve and whether you still think the 8% margin target for 2021 is feasible here, because it is quite a step up from the current run rate? And the second question on the deal with Iberdrola, what assurances do you have from the regulated that you don’t have to offer the same price to minorities and do you expect to be taken to court by investors looking for the same price? And also if you could elaborate on the €100 million cost synergies from this, it's a pretty big number, so kind of exactly where that is coming from? Thank you very much.
Joe Kaeser: Thank you, Andreas. Let me start with GP question. You have been referring to the underlying and also to the backlog quality. I mean first of all, as we have been indicating before, we have been busy completing the German cop out [ph] in the first quarter which is the biggest of all the challenges that we had on our way to completing – to setting up a subgroup for the new legal entity of Siemens Energy. There was a hell lot of work and details that the team has been working with. At the same time we have been building up the infrastructure for the new standalone listed company means extra departments that didn’t exist before, like investor relations, treasury and the process of being built up. So there was an expected ramp up of costs. At the same time, we have been seeing that the business mix as I mentioned that before had a bit less service impact compared to the long-term average. We do see from the backlog however that this is going to stabilize back to normal in the quarters to come. So the indication we gave with the target margin range of 2% to 5% is still intact. We see the team busy working on the savings and the implementation of the programs that we indicated on the way forward, the €700 million of cost savings which are supposed to be implemented by fiscal 2021 has been confirmed by the management team, also by the new management team by the way, and we have been busy discussing these measures with them just recently. So we are very much in touch and up-to-date with following up on those cost savings to the extent of guiding for the margin ranges for the quarter - for the years to come. You need to be patient with us because at the moment we are busy building up the equity story and also the business plan. So I can only report on the ingredients, so to speak and the €700 million savings as indicated to you at the Capital Markets Day is intact and on its way and also the business mix from of the backlog that we do see with two thirds of Service business is also well on its way. We have been talking about a couple of times about whether or not there are incremental changes in early cancellations or renewals. There is nothing of much reality that we have been seeing so far in that field.
Roland Busch: Yes, thank you. Maybe just a couple of additions, so the underlying miss which we saw in our internal GP discussion was mostly attached to the mix between Service and new business, although Service is still comfortably and it is much in development. Now the Siemens Gamesa the regulatory matters, can be rest assured that this topic was one of our centerpieces for our attention associated project. There is not much else I can say to it, but it was one of the centerpieces and that's why we feel comfortable in what we do and to keep control over what else happens or doesn’t happen.
Ralf Thomas: And the second part of the Siemens Gamesa question around the cost synergies, of course the management team of Siemens Gamesa and also the future management team of Siemens Energy have been looking into matters very thoroughly and have been reporting back to the Managing Board via the relevant Board members of Siemens Gamesa Renewable Energy Board and there are two major buckets of those hundred million of cost synergies. One is obviously coming from the procurement channel where we do see substantial opportunities for better pricing power. It is mainly around topics like cabinets, bearings, powers, and the other bucket of course is around the expectation that the cooperation agreement with Iberdrola to jointly address the energy transition in several different areas around the globe, that is also providing incremental business opportunities for Siemens Gamesa. Therefore, we feel very comfortable with the NPV of €900 million that we have been addressing and which has been underlying the investment case that has been presented like each and every other investment case to the Managing Board. And we have been thoroughly going through the five strategic imperatives that we typically are discussing when we make major investment decisions. You do know them, I don't want to bore you with that, but there were green tics in all those five boxes.
Andreas Willi: Thank you, very much.
Joe Kaeser: Thank you, Andreas.
Operator: Thank you. We will go to our next question now from Ben Uglow from Morgan Stanley. Please go ahead.
Ben Uglow: Good morning everyone and thank you for taking the questions. I guess, what I'm interested in is the big picture in China. If we look at the orders it looks as though there has been a pretty nice step up in orders, I don’t know if there is a comp effect, but nearly 20% to €2.7 billion. Can you give us a sense of how broad based that is, are there long-term, are there big one off contracts in there? So what is the sense there? Then specifically on Digital Industries, Ralf I think you said that there were signs of home. What signs in particular in China are you seeing? My question is, I guess, that we normally see a pretty big restock ahead of the Lunar New Year. This happens every time. The question is, is this just a restock or do you see more positive underlying demand?
Joe Kaeser: Thank you, Ben. This is of course a very relevant question that we have been asking ourselves around restocking. And let me first talk about China, more from the big picture that you have been asking for. I mean what we do of course is that China pretty much is standing at the lowest growth rates of the economy since decades and therefore we do have a lot of respect for maneuvering through those challenging times. When it comes to the manufacturing output, that seems to be stabilizing with a slight growth in very selected industries. We are of course using these opportunities to win market share and we are very strong positioned in China with our combined offering of automation and industrial software if you do know. When it comes to machine building and automotive industries, we have been seeing just like a couple of our competitors also have been commenting that there are first positive even though weak signals based on low levels for the machine building and automotive industries. We are carefully watching that as mentioned before. The i-team is fully committed to make sure that they will be in a position to respond swiftly if the underlying assumptions of their production and business plan would change materially. So they have been learning their lessons well. And with regard to restocking, honestly speaking, this is extremely hard to tell this time because Chinese New Year has been earlier than in the prior year from that what we see there is no pattern that there would be extraordinary stocking levels in the channels, but we are carefully watching that from that what we do see we do not expect backswing from that in the next quarter or in January as far as we have been looking into matters. From this one month perspective, already there is no artifact that has been building up which would materially have influence on the way forward. However, we have a lot of respect of course also to the potential impact of the virus and we are busy checking the supply chains to identify as early as possible potential bottlenecks of the supply chain. Too early to make any statements on that of course because there's also the fact that Chinese New Year and holidays have been extended so far.
Roland Busch: Yes, and maybe to add to that, this is so crucial. First of all, I mean, obviously this whole matter of the coronavirus we need to go see how far the pandemic goes, what it does to the China economy, but also you know, how the supply chain is going to develop for the international business and we need the components from China. So we have very early on built a crisis team on purchasing and the likes and also see alternative suppliers for components, so that's what we are currently very, very focused on. It is obviously relevant. We are that's why too early. The second topic is and this is something I want to throw your mind to. The more we get an ease of mind on the China-U.S. trade deals the more comfortable we are on our Software business. As you may know, most of our Software deliveries like the Mentor Graphics sort of feel inside comes from the United States and we are glad some restriction on the software side, so the more that ease is going forward, the more we may be able to compensate for some turbulences on the component side. So that's what we are very, very closely looking at and this is where we stand. So, Q1 was really encouraging. So as such, obviously, we would have hoped for a more - let's say, less turbulent topic, but we take what we have to take and I think we are well underway on how to manage and how to assess the opportunities and the risks associated with that.
Ralf Thomas: And one more remark from my end, Ben, with regard to China and the growth momentum, the new orders, which have been up 19%, were also supported by strong software business, which has been growing double-digitally. On a global basis, we mentioned that in the press conference before, new orders for software have been up 33%.
Ben Uglow: That's great. Thank you. Thank you very much indeed.
Joe Kaeser: Welcome.
Ralf Thomas: Welcome Ben.
Operator: Thank you. Our next question today comes from Alexander Virgo from Bank of America. Please go ahead.
Alexander Virgo: Thanks very much. Good morning, gentlemen. Good morning Sabine. I mean, just a quick sort of follow up, I suppose, on the DI margins, just trying to understand a little bit of the trajectory as we look through the year. Is it fair to assume coronavirus impact notwithstanding, that the spend as we see - obviously severance charges front-loaded, so severance charges will fall away through the year. And just thinking about the headwinds from Mentor integration and MindSphere investment, I'm wondering how linear, I suppose, we can see that trajectory of margin development through the year? And maybe as a follow on from that, could you talk a little bit about operating cash flow seasonality? Clearly, as you guided to, Q1 was a slow start of a very strong Q4. I'm just wondering if we can think about a little bit more stable free cash flow conversion and generation through the year? Thank you.
Ralf Thomas: Thanks, Alex. Let me start with the latter one. Of course, the operating cash flow after a really very, very strong fourth quarter was a bit of a question mark for us, too, and I have to say that I'm quite satisfied with the development I saw so far. I am looking upon that topic, however, more from an execution perspective of the asset management programs of the different companies and we have been looking into that extremely - extremely diligently throughout the last two weeks. They all have been reporting that they are on track. I do see measures on the lever - on the value lever level that are very encouraging, and the bounce back from the fourth quarter to the first quarter was, by far, less dramatically as we saw that in prior years. Does that satisfy me completely? Of course, not. We will continue looking into the measures and the degree of implementation. So seasonality from first quarter's perspective is definitely better than we saw that last year, but - and that's also something we need to of course take into consideration the fact that we had outstanding strong, large project orders in the prior year's first quarter, is also a fact that we need to take into consideration. It hasn't been repeating itself, in particular, on the Mobility side, you saw that. Hence, Mobility, due to the new order pattern that we see in the funnel, will definitely not be in a position to catch up in the first half of fiscal year 2020. So there will be some back load, whether we like it or not from the project business in the second half of the year. Now talking, the DI margin development, I think it's important to understand the €115 million, which is the majority of the program that we have been indicating, and the DI management has been unveiling in the Capital Markets Day last year, those €115 million are pulled in at an earlier point in time as the management team has been promising to accelerate the program. That implicitly means also that the savings will come earlier. We indicated that in the analyst conference of the fourth quarter of last fiscal year already we had been expecting €160 million of savings for fiscal '21 originally. This is now €250 million out of the €320 million of the whole program. So the acceleration is getting tangible and we are quite satisfied with that effect. The other component, the cloud investment and Mentor Graphics integration, which has been contributing 210 basis points to the first quarter, they will not linear really, but steadily go down over the course of the fiscal year, and we will keep you updated then also what we do expect for the next fiscal. It, of course, is also related to the impact of the savings program to a certain extent. And, therefore, there is no linearity over the quarters, but it will continuously ramp down, in particular, also with one-time investments for MindSphere as we indicated that before.
Alexander Virgo: That's very helpful, Ralf. Thanks very much. And just to clarify, the 33% order increase in software, is that China software or the overall software? I think it's just China.
Ralf Thomas: That was the global figure. There was a global figure. The Chinese growth rate has been double digits, however, as well.
Joe Kaeser: Yes. The major growth comes from projects associated with the big U.S companies, which we have agreed not to specifically mention the name, as well as the order volume. But think about the most prominent West Coast companies associated with PLM and chip design, then you probably have a glimpse that this is really, really big for us. And yes, I'm very proud, I have to say on that one, because at the end of the day the whole Mentor PLM, electrical, mechanical, integration, simulations comes together now, not just in a great strategic concept, but also in big orders and the understanding of our customer that this helps them to be a better company.
Alexander Virgo: Very helpful, thank you, very much.
Joe Kaeser: Sure.
Operator: Thank you. Our next question comes from James Moore from Redburn. Please go ahead.
James Moore: Yes, good morning everyone. I have two questions if I could. Firstly, on the savings, perhaps you could help us a little bit on the timing. You previously helped us the vision 2020-plus will be €2.2 billion of saving in 2023 and €1.4 billion in 2021 with roughly half in Gas and Power. My question is really, when we look at the savings that you expect this year in FY '20 versus next year FY '21, how should we phase the €1.4 billion, would it be a straight line 50-50, 700-700 or as I suspect, much more skewed to 2021 and if so, could you perhaps scale that? And my second question relates on - relates to the Gas and Power business. You mentioned that there are some carve-out costs in there. I wondered if you could perhaps scale that; are we talking 50 bps or 200 bps impact on the margin? And maybe you could also say what's in the Group central cost relating to that topic as well, as I believe there are cost impacts on both sides. Thanks.
Ralf Thomas: James, thank you. With regard to the savings, it will not be 50-50, obviously. What I tried to express with my earlier statement is that, for DI we have been accelerating the program and what originally had been planned for fiscal '21 was €160 million. We have been accelerating that and increasing the target level for 2021 to €250 million. There was already savings in the low double-digit million area on that DI initiative, the acceleration of that initiative. The indication I gave in the press conference is that - and also in the call here is that for SI, you may expect that we also are pulling all levers to get the program implemented as quickly as possible. We are very positive that we get final agreement with the workers' council for the second quarter, and then there will be bookings on severance in the area of €100 million, which also would help to push the program forward. We have been confirming the savings pattern as we indicated - as Roland said also in the press conference for '21 as planned, but there will not be a material accelerated impact in fiscal ' 20 on that one. So it will not be 50-50, but rather, maybe two-third, one-third in that area. Too early to tell, as I said the negotiations on the Smart Infrastructure side are still ongoing and as always, we talk about figures once we get agreements in place. Then can you repeat quickly the focus of the GP question?
James Moore: Yes. I get a sense that there - just to repeat, I get the sense that there were some costs for the carve-out in both GP and in the central line. I just wondered if you could scale the impacts on the GP margin, is it 50 bps, 200 bps?
Ralf Thomas: First of all, as I said before, the ramp-up of the infrastructure needed for separately managed and listed company is ongoing. We have been carving out Germany now, which was the biggest step to take and also on the critical path; that has been done completely. On top of that, of course, there is carve-out costs in the countries. And since we touched on each and every country around the globe that may well be between 50 and 100 basis points, but it's very hard to assess that properly, because there are also many minor steps to be taken in all these different countries, and therefore we would appreciate to first complete the carve-out and then we will give you the details of the costs associated, which of them will be one-time and which will be recurring, because obviously the set-up for the listed vehicle will be recurring, but a big part of the activities that have been impacting the first quarter with regard to the carve-out itself will of course not repeat themselves.
Sabine Reichel: We still have a few questions on the line, so let's be quick now. Maybe one or two more questions, but only limited to one question with then also a short answer. Thank you. Next question please?
Operator: Thank you. We have a question from Daniela Costa. Please go ahead.
Daniela Costa: Yes, thank you for taking my question. So just one, which relates to the strategic companies - the strategic industry. You've laid out how the - what you're doing with Gamesa and the Iberdrola stake helps you address some of the performance issues in Gamesa. And I was wondering if sort of the recent performance on Siemens Healthineers or Mobility influence somehow how you're thinking about those in the future. You have the Mobility update coming up. Can you just update us on whether there is any sort of influence on how you're thinking about those and what should we expect particularly for the Mobility update? Thank you.
Joe Kaeser: Thank you, Daniela. From a shareholder's perspective, for these strategic companies, of course, we are not satisfied with the profitability of the first quarter. I think there is quite a difference that we need to make when we look into matters for Siemens Gamesa compared to the Healthineers. The Healthineers management has been clearly confirming the outlook and has been also describing the details of why the first quarter was not satisfying from a profitability perspective. So from that point of view, we are looking forward to a significant improvement, in particular, in the imaging business in the second quarter. That's what management team has been telling the market and we are following up on that as shareholders consistently, of course. With regards to Siemens Gamesa, the fact that there was a particular set of projects related, we have been, from the Board's perspective carefully looking into those matters. The management team has been beefing up the control procedures in that regard. So we do not expect a similar surprise according to that what Markus Tacke and his team have been sharing with the market.
Roland Busch: Yes. And Daniela from my side, Mobility, I mean you saw that the order intake was based on the tough comp. We saw that it's starting slow, but we see an improvement in the second half year. Revenue is, due to the phasing in of the projects is coming as planned. Profitability is stable, a little bit lower than expected due to the lower revenue, in particular in signaling. But from that perspective, no trigger for any other news than that what we said before that we would come back in Q2 with a little more details.
Sabine Reichel: So let's take the last question then.
Operator: Thank you. Our last question today comes from Jonathan Mounsey from Exane BNP Paribas. Please go ahead.
Jonathan Mounsey: Hello. Hi, thanks for taking my question. We'll make it a quick one. I think in Mobility - sorry, in Digital Industries there was a Bentley gain last year. If I remember rightly, that was about €50 million. I think there was also one this year. So obviously, the net impact, I think I was modeling a full €50 million not to reoccur. I think probably consensus was too. But if there was a gain this year, could you tell us how big it was? If it was €30 million that would obviously imply more significant underlying miss than it first appears. Can you possibly give us a feeling on what the number was this year for Bentley?
Ralf Thomas: Now, what I can tell you is that the number wasn't as big as last year. So for your model, maybe you may consider half of the amount of the prior year to be in the ballpark. But let me give you my math quickly on what the underlying was. As I said, excluding severance, the margin was at 17.4%. If you then take out the impact of cloud investment and Mentor integration that takes you in the ballpark of around 19%, and all the other impacts compared to that what we saw in prior year were rather negative. So, you are on the safe side with an assessment that the underlying is slightly below 19%.
Jonathan Mounsey: Great. Thanks very much.
Sabine Reichel: All right so…
Ralf Thomas: Thank you very much. Thank you.
Sabine Reichel: Thank you also everyone from my side here and also for participating in the call. You can watch the live webcast of the Siemens AGM via the Investor Relations home page. And as always, the team and I will be also available for further questions. Thank you, everyone, bye.
Operator: Thank you. That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. Once again let me repeat the instant replay numbers. Participants in Germany, please call the replay number +49-692-000-1800 access code 6531519 followed by the pound key. Participants in Europe, please call the replay number +44-207-660-0134 access code 6531519 followed by the pound key. Participants from the United States please call the replay number +1-719-457-0820 access code 6531519 followed by the pound key. This replay service will be available until tomorrow night. A recording of this conference call will also be available on the Investor Relations section of the Siemens website. The website address is www.siemens.com/investorrelations. Thank you.